Operator: Good day, ladies and gentlemen, and welcome to the Q1 2018 Prestige Brands Holdings Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. As a reminder, today's conference is being recorded. I would like to introduce your host for today's conference, Mr. Phil Terpolilli, Director of Investor Relations. Sir.
Phil Terpolilli - Prestige Brands Holdings, Inc.: Thank you, operator, and good morning to everyone on the phone. Joining me on the call today are Ron Lombardi, our President, Chief Executive Officer and Chairman of the board; and Christine Sacco, our Chief Financial Officer. On today's call we will cover the highlights of our fiscal 2018 first quarter, review the financial results, and provide an update to our full-year outlook. At the end, as the operator mentioned, we will open up the call to questions. As a reminder, we have a slide presentation, which accompanies this call, which can be accessed by visiting prestigebrands.com, clicking on the Investor link, and then on today's webcast and presentation. Please remember, some of the information contained in the presentation today includes non-GAAP financial measures. The reconciliations between adjusted and reported financial measures are included in today's earnings release and at the end of the slide presentation. During this call, management may make forward-looking statements regarding their beliefs and expectations as to the company's future business prospects and results. All forward-looking statements involve risks and uncertainties, which, in many cases, are beyond the control of the company and may cause actual results to differ materially from those in the forward-looking statements. We have a complete Safe Harbor disclosure on page 2 of the slide presentation accompanying the call. Additional information concerning the factors that could cause actual results to differ materially from those in forward-looking statements are contained under the heading, Risk Factors in the company's Annual Report on Form 10-K, filed for the fiscal year ended March 31, 2017 with the SEC. With that, let's turn to page 5 of our earnings presentation, where I'll turn it over to our CEO, Ron Lombardi, to walk through the highlights of our fiscal first quarter performance. Ron?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Thanks, Phil. Good morning, everyone, and let's start on page 5. We are very pleased with our solid Q1 results, which got the year off to a strong start across several fronts. Much of this performance can be credited to our long-term three pillar strategy, which starts with brand building. Over the last five years, we have consistently improved our portfolio mix to support our long-term growth targets. We've executed on brand building efforts and investments and have generated strong consistent free cash flow, which has underpinned our successful M&A strategy. Our strategy and portfolio evolution has resulted in impressive top and bottom line performance including low single-digit organic sales growth, which is in line with our long-term target, and strong adjusted EPS and cash flow as highlighted on page 5. We're pleased with our initial performance and feel good about our business trends heading into the remainder of fiscal 2018. Let's turn to slide 6 and walk through a more detailed review of our Q1 results. Highlights for the quarter include a net sales increase of over 22% to approximately $257 million in the first quarter; Pro forma revenue growth of 3%, which includes solid high single-digit growth for Fleet, high single-digit International growth, and solid growth in the legacy North American OTC portfolio. Total company adjusted gross margin came in at 56.9%, reflecting the impact of Fleet on results, and it was slightly ahead of our expectations for the quarter. We reported adjusted EPS of $0.66 during the quarter, which compares to $0.59 in the prior year. We also reported adjusted free cash flow at nearly $57 million in Q1, which continues to be driven by our industry-leading EBITDA margin, modest capital spending, and low cash tax rate. Lastly, the Fleet integration continues to progress nicely and is now largely complete. Its overall business performance in our first full quarter of ownership was in line with our expectations and included strong 7% revenue growth. Our priorities for Fleet are now shifting into long-term brand building and incremental supply-chain opportunities including what we call our fill the factory initiative. We will provide a more comprehensive update later on in the presentation. With that, let's turn to slide 7. The strong Q1 financial performance I've highlighted reflects our portfolio evolution. Today, we sit with a portfolio comprised of Invest-for-Growth brands, making up 85% of the portfolio, which we feel can drive 2% to 3% long-term annual organic sales growth. At the core of our company, we are a brand building organization with leading sales, marketing, and new product development efforts. Our objective is to leverage these strengths in order to execute against our long-term brand building strategy, which ultimately drives consumer takeaway. Furthermore, many of our largest brands like BC, Goody's, MONISTAT, and Summer's Eve effectively represent the branded categories in which they compete in and we are in a unique position to focus on growing the overall categories. To do this, as is highlighted on the left side of the page, our work begins with consumer insights and market research in understanding and identifying how to connect with consumers. Stemming from that, we develop new products which help fill unmet consumer needs and further deepen the consumer connection we have with our brands. In parallel, we continue to spend disciplined A&P dollars behind content marketing, with the aim of further connecting our brand to consumers. Finally, we make sure we're continuously developing our channels of distribution, working across our retail partners to ensure all of our brands are accessible to consumers. These strategies and our brands' performance are judged in the long run by consumption and market share in each brand's competitive set. By these metrics, we are winning. On the right side of the slide, we have our top brands, which make up over half of our business at retail. Driven by these brand building efforts, our power core brands have outpaced the category growth meaningfully and have grown share consistently over the last several years. As you can see on the slide, we've outpaced category growth by over 200 basis points and grew at over 4% in fiscal 2018 to-date. While these largest power core brands are important, we've had brand building success across our other core brands as well. Let's turn to slide 8 and discuss one of those brands, Luden's. Luden's is an excellent example of the long-term brand building playbook. Luden's was acquired in fiscal 2011 as part of our Blacksmith acquisition and fit our long-term brand building criteria having a heritage of great taste to soothe sore throats. Since fiscal 2014, we've grown Luden's retail sales over 30% by executing against our strategy and increased our market share by nearly a point in the throat drop category over that timeframe. Our recent brand building approach had been multi-pronged, with new product development and unique marketing, energizing growth for the brand with both our consumer and retail partners. We've utilized our consumer insight work to tailor new product development like the recently launched Red Hot Cinnamon flavor. We've had multi-channel marketing initiative designed to capitalize on what we've learned from consumer insights. The results of these efforts, is increased consumer consumption, which allowed us to deepen our channel presentation with key customers. As a result of our team's efforts, we've achieved continued success growing the brand over 8% in each of the last two quarters, well-ahead of both the overall category and sore throat incident rates as well. It's a great near and long-term example of the brand – the results of our brand building ability. Now, let's turn to slide 9; our brand building practices do not just apply to legacy businesses. Fleet, the namesake brand of the Fleet transaction, represents approximately 20% of the Fleet portfolio. Originally created by Charlie Browne Fleet over 100 years ago, it has a long heritage of connecting with consumers. Fleet competes in the GI category, with a number one share in both the enema and glycerin suppository categories, and it is the number one doctor-recommended laxative brand. Although, we've owned Fleet for a short time, we are applying the same brand building playbook to Fleet that I discussed earlier. By understanding consumer needs, we can develop a clear innovation pipeline, strategically directing A&P dollars to connect with consumers and healthcare professionals, and further channel development with our retail partners. Although early, the Fleet brand is off to a nice start in just a few months of ownership and we feel good about the long-term opportunities to build the brand and grow the category. With that, let's turn to slide 10, for an update on the Fleet integration; Fleet is the largest transaction in the company's history, but our integration playbook is consistent with prior acquisition. We expected to quickly integrate sales and distribution, taking advantage of our marketing and brand building approach and execute on G&A consolidation efforts. I'm pleased to report we are on track to achieve targeted first-year synergies and have now completed all significant milestones surrounding the integration. The speed of reaching these achievements offers a clear example of why integrating and growing acquisitions is another core competency of our company. As we look ahead, we see opportunities to develop Fleet's strong portfolio of brands. We've launched a number of new Summer's Eve products and have additional new product innovation identified across the portfolio. On the cost front, although, we've captured a large portion of expected savings, we expect to continue productivity efforts in Lynchburg manufacturing facility over time. For example, we continue to be excited about around the opportunity to fill the factory, maximizing the benefits of Fleet's long-serving and skilled employees. And in the near-term, we've begun to capitalize on our facility by manufacturing the recently launched MONISTAT cooling cloth in-house. We believe this launch, in leverage of an existing brand, is a precursor to the long-term opportunities we are focused on. At this point, let me turn the call over to Chris, who will take us through the financials for the quarter.
Christine Sacco - Prestige Brands Holdings, Inc.: Thanks, Ron, and good morning, everyone. I'll walk through our first quarter results in greater detail and offer some updated context around our expectations for fiscal 2018 by line item. On slide 12; you can see our high-level first quarter performance, including total revenue growth for the quarter of more than 22% and adjusted EPS growth of approximately 12% to $0.66 per share versus the prior year. Fleet contribution was in line with our expectations, and we have largely completed our integration efforts. Moving on to slide 13; we have our abbreviated fiscal first quarter P&L ended June 30, 2017. As a reminder, the information in today's presentation includes adjusted results that are reconciled in our earnings release. As I mentioned on the prior slides, our net revenues increased 22.4% in Q1. These results were driven by continued strong consumption trends in our core North American OTC and International businesses, and includes $54.9 million of incremental revenue from Fleet, which grew 7% year-over-year. These growth drivers were partially offset by the impact of strategic divestitures executed last fiscal year, totaling $11 million. Currency impact in Q1 was an approximate 30 basis point headwind to revenue growth. On a pro forma basis excluding currency, divestitures and including Fleet, as if we owned it in the prior year, we experienced revenue growth of 3% and we anticipate a similar revenue growth rate in Q2. Adjusted gross margin came in slightly ahead of our expectations at 56.9% for the first quarter and was down approximately 110 basis points from the prior-year period, primarily from the addition of Fleet. We continue to expect fiscal 2018 gross margin of approximately 56.5%, largely owing to this mix effect. As a reminder, Fleet's gross margin is below the Prestige average, but EBITDA margins for Fleet are more closely aligned with the company's average on a fully integrated and synergized basis. In terms of A&P, we came in at approximately 14.5% of revenue in Q1. A&P expense grew in both dollars and as a percentage of sales versus the prior year, attributable to a shifting mix of business towards our Invest-for-Growth brands. As we've highlighted previously, there can be some variability in A&P from quarter-to-quarter, but for fiscal 2018, we continue to expect A&P expense as a percentage of sales of just under 15%, up from fiscal 2017's spend as we continue to invest in long-term brand building. Our adjusted G&A spending came in at just under 8% of total revenues for Q1, as we largely captured G&A synergies expected from Fleet. D&A was $8.2 million in the quarter, $1.3 million of which was associated with cost of sales depreciation and is netted to arrive at gross profit. For fiscal 2018, we continue to estimate our depreciation and amortization expense will be approximately $35 million, $6 million of which is depreciation within cost of sales. Finally, as mentioned on the previous slide, our adjusted EPS of $0.66 grew about 12% for Q1 versus the prior year. Based on our current outlook, we anticipate a comparable earnings per share in Q2. Turning to slide 14, we have the details of our cash flow for the first quarter of fiscal 2018. In Q1, we generated $56.5 million of adjusted free cash flow, up from $50.7 million a year ago. We finished Q1 with net debt of approximately $2.1 billion and a leverage ratio of 5.6 times at quarter end. We continue to expect to be at a covenant defined leverage ratio of approximately 5 times at fiscal year-end 2018. For fiscal 2018, our adjusted free cash flow outlook of $205 million or more is unchanged, along with our strategy to put proceeds towards debt paydown. I'd like to now turn it back to Ron.
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Thanks, Chris. Let me wrap up with some closing remarks and reaffirm our 2018 outlook beginning on slide 16. We're off to a strong start to the year and our diverse needs-based portfolio is winning share in the marketplace and is well-positioned to continue growth in fiscal 2018. As a result, we are reaffirming our full-year outlook. However, we continue to be cautious due to the headwinds from the challenging retail and consumer environment that we have seen over the past few years. For revenues, we continue to expect 2% to 2.5% pro-forma revenue growth, driven by our Invest-for-Growth portfolio. In terms of cadence, we anticipate first half pro-forma revenue growth of approximately 3%, which is higher than the full-year range, benefiting from easier comps in the first half of fiscal 2018. For EPS, we are reaffirming our adjusted EPS outlook of plus 9% to plus 13% versus prior year, or $2.58 to $2.68 per share. Both the long-term and short-term progress has been driven by our three part strategy that focuses on winning with consumers, growing our market share and delevering to reduce interest expense, and provides resources to invest behind brand building and M&A. We've made progress on each of these pillars in the past year, growing our base business, consistently paying down debt with our steady cash flow, and acquiring C.B. Fleet back in January. We will continue to execute against these proven pillars as we move forward in fiscal 2018 and beyond to create value for all of our stakeholders. With that, let me turn the call over to the operator, who will open the lines for questions.
Operator: Thank you. Our first question comes from Joe Altobello of Raymond James. Your line is open.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Thanks. Hey, guys. Good morning. So first question, I think, Chris, you mentioned very quickly that you expect EPS in the second quarter to be flat with year ago despite the nice improvement in the first quarter. Just curious what was the assumptions that you're baking into your second quarter forecast.
Christine Sacco - Prestige Brands Holdings, Inc.: Yes, Joe, so let me just walk you through the numbers as I said today in the prepared remarks, we're expecting similar growth rate 3% in the second quarter. We're reaffirming our outlook for specific line items throughout the P&L and, as I mentioned today, EPS comparable to Q1, I think, if you work through the numbers, the math should get you there.
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: And again, that's EPS comparable to the first quarter of this fiscal year, not last-year Joe.
Christine Sacco - Prestige Brands Holdings, Inc.: Correct.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: I'm sorry, okay, I may have misheard. I thought you said flat year-over-year. Okay. Moving on to Fleet, obviously, a nice quarter, the 7% growth was good to see. I thought you've had some new innovation from that business. Curious your thoughts on where the innovation pipeline for Fleet in general stands right now? Is it in good shape? Is there more work to be done over the next 12 to 18 months?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Sure, Joe. So there's always work to be done on filling your long-term NPD pipeline. Fleet was in a bit of a better shape in terms of the things that they had in their pipeline when we acquired the business, but we're going to come at it with a much longer view and a much bigger investment opportunity than the previous owners. So there's always work to do, but we're in good shape for the near term.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Okay, great. Just one last housekeeping item, your effective tax rate on an adjusted basis, looks like it was 36.5%, it's a little bit higher than what you guys are expecting for the full year? How should we be modeling the tax rate for this year?
Christine Sacco - Prestige Brands Holdings, Inc.: Yes, Joe, I think if you use 36.5% that's the estimate for the full-year at this point. We'll update you, each quarter.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Okay. Great. Thank you, guys.
Operator: Thank you. Our next question is from Steph Wissink of Jefferies. Your line is open.
Stephanie Wissink - Jefferies LLC: Thanks. Good morning, everyone. Just a couple of follow-up clarifications on the A&P spend. I'm just curious, if you can give us some perspective on where the strategies are concentrated there? Is there anything different than what you've been doing in the past, just given you have a little bit more capital applied to that line item? And then as a follow-up to that, with respect to Fleet, if you could just talk a little bit about how you're engaging your consumer base in terms of product development feedback, ingredient profiles and such, we've seen some social media activity regarding some ingredient questionability? Just wanted to get your feedback on that how you're engaging that consumer base? Thank you.
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Sure. Good morning, Steph, and welcome back. So in terms of the A&P strategy, we really don't have a change as a result of the Fleet acquisition, compared to what we've been executing against really for seven-plus years now, which is – we're concentrating our efforts and our resources around our biggest opportunities, which years ago, we defined as those core brands that we started with, and now, we're focused on the power core. We've got 5 or 6 brands that make up about half of our sales. So, those are our biggest brands, our biggest opportunities. We have a meaningful amount of energy and resources focused on those, as well as the remainder of that core brand portfolio we started with in the International business where we are seeing high levels of growth. And again, the broad brand building playbook includes new product development, digital TV and all of the other opportunities that we have for investments, so no change in the A&P strategy, focusing on our biggest opportunities. Your second question there was to what extent are we including consumer input into really our new products and our thinking around our products, for Fleet, I think, specifically, or the Summer's Eve product? In Summer's Eve, there's really no different than any of our products or brands. We always start with meaningful consumer insight. Your specific question around ingredients for the Summer's Eve product was on the previous management teams' radar screen for Summer's Eve as well as ours, and there's been a number of changes to the ingredients over the last year. And most recently the Summer's Eve Simply launch reflects that consumer insight and input around ingredients for those products. So I think it's also important to note that all of our products contain ingredients that are safe and effective when used and allowed by the FDA. So that's also important to start with.
Stephanie Wissink - Jefferies LLC: That's helpful, thanks. Just one final question with respect to the capital structure. I think, Chris, you mentioned, year-end target right around 5 times, but if you were able to come in a bit better on your free cash flow versus that, I think, $205 million guidance range, would that likely go to debt paydown on an accelerated basis? And what kind of flexibility is there in the balance of the year in terms of potential free cash flow conversion over and above your guided range?
Christine Sacco - Prestige Brands Holdings, Inc.: Yes, Steph – excuse me – as I said, our focus this year – free cash flow will absolutely be directed towards debt paydown. It's a focus for the year, and to the extent we have upside, we would anticipate using all of that to accelerate the leverage ratio that I indicated on the call at 5 times.
Stephanie Wissink - Jefferies LLC: All right. Thank you. Best of luck, guys.
Phil Terpolilli - Prestige Brands Holdings, Inc.: Thank you.
Operator: Thank you. Our next question is from Jason Gere of KeyBanc Capital Markets. Your line is open.
Xian Siew - KeyBanc Capital Markets, Inc.: Hey, guys, this is Xian on for Jason. I was trying to question on online versus off-line. Is there any notable impact in retail, like any notable changes in retailer behavior? So even though you guys are need-based, so store visit makes sense. Is there any discussions on moving more product online?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Good morning. Thanks. So what we've been stating is that our strategy is to make the right kind of investments ahead of the consumer shift that may occur from brick-and-mortar to online for our categories. Again, what we've realized to-date is that for our needs-based categories, consumers are still showing up in stores and we haven't seen a huge shift to online yet. But again, our strategy is simple, make the investments so that as consumers show up online, our products are available. So, if you go out and look on any of the online platforms, you will find the vast majority of our products are readily available online for shoppers that choose to go there. Online is still a very small portion of our sales. It was approximately 1% or so, growing at a very, very high rate although from a very small base. So we continue to look at that as an opportunity to make the right investments to support the business going forward.
Xian Siew - KeyBanc Capital Markets, Inc.: Thanks. And I just had a quick question also on the dynamic of gross margin and SG&A. So with this year, the margin was kind of declining on the mix from Fleet. So do you have to kind of stabilize or grow more? Is there more gross margin opportunities or do you have to lean more on SG&A cuts? Or kind of what's the dynamics there?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: So (26:31) from the start, right? The last couple of acquisitions that we've done, DenTek and Fleet, have allowed us to move the long-term organic growth profile of the company from, call it, 1.5% to 2%, to 2% to 3% long-term. So that's been the focus for the last two acquisitions. Along with that has come a slightly different gross margin profile that was lower than the legacy company, but it's important to note that the EBITDA contribution level from those businesses is largely in line with where we started with. So we've seen really a shift in gross margins, but keeping a consistent level of EBITDA margin. And again, the other important thing has been, our strategy for the long-term is gross margin gains, which we look to harvest over the long-term, will be reinvested at higher levels of A&P. So we're not looking to improve our EBITDA margins. At the levels they're at, industry-leading, we're happy with them. We're focused on growing those EBITDA dollars long-term.
Xian Siew - KeyBanc Capital Markets, Inc.: Got it. Thank you very much. I'll pass it along.
Operator: Thank you. Our next question is from Linda Bolton Weiser of D.A. Davidson. Your line is open.
Linda Bolton Weiser - D. A. Davidson & Co.: Hi. Can you comment on – Johnson & Johnson had mentioned on their earnings conference call several weeks ago that they had actually seen some restocking of inventory in the distributor channel in the U.S. OTC drug market. They did point to it as being partly due to the later allergy season. So that doesn't really directly pertain to you. But nevertheless, did you see any restocking in the quarter? And also, I'm just curious how your Clear Eyes product line performed in the quarter. Was it fairly strong in the quarter? Thanks.
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Sure. Good morning, Linda. So consumption versus sell-in for the quarter was consistent for us. They were close to each other. So we didn't see any level of restocking or sales-in ahead of consumption for the company during the quarter. The Clear Eyes performance continues to be solid and was strong in the first quarter. The allergy part of that business is really a small portion of it. It's still relatively concentrated in red eye and red eye relief, but we had a good quarter that wasn't necessarily swayed by allergy.
Linda Bolton Weiser - D. A. Davidson & Co.: Okay. And then just on Fleet, I seem to recall that distribution expansion was not a part of the growth story going forward now that it's integrated. But can you just remind us then what are the key drivers toward continuing to grow it, is it increasing different products under the brand umbrella for Summer's Eve, is what I'm referring more to, or is it just increasing household penetration, getting more women to use these types of products? Or what is the marketing strategy to continue to expand it in terms of Summer's Eve? Thanks.
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Sure. So for Summer's Eve, and really with all of our brands, there's always distribution opportunities, although we weren't counting on any meaningful amount as part of the Fleet acquisition there. But there's always opportunity as we look across the different channels of distribution that we have. The long-term brand building opportunity for Summer's Eve is going to be similar to all of our brands. We're going to look to introduce new products, we're going to look to increase household penetration, look to increase usage for those core customers, and brand build over the long-term to grow the user base. It's not all that different from our normal brand building playbook, although we'll execute it, certainly, differently.
Linda Bolton Weiser - D. A. Davidson & Co.: Okay. Thank you very much.
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Thank you, Linda.
Operator: Thank you. Our next question is from Frank Camma of Sidoti. Your line is open.
Frank Camma - Sidoti & Co. LLC: Good morning, guys.
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Good morning, Frank.
Frank Camma - Sidoti & Co. LLC: Hey, could you give us some color specifically on how DenTek is now doing versus your expectations, given it's been a while since the update on that and you've had a while to manage it?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Sure. The DenTek business had solid performance in the first quarter. We grew mid-single-digits growth from consumption and sales during the quarter. So, we continued to feel good about the long-term opportunities for the DenTek brand and have been focusing on new product development, will have some new products launched over the next handful of quarters here. So continue to do well, not only in North America, but we continue to grow meaningfully in the U.K. and German markets as well. So DenTek continues to perform solidly, and we continue to see the long-term opportunities for that brand, Frank.
Frank Camma - Sidoti & Co. LLC: Good. So that's a little bit – obviously, it's a little bit ahead of your consolidated organic growth, which is kind of what you expected, right, that it would be a better than average grower?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: That's correct.
Frank Camma - Sidoti & Co. LLC: Okay. And my second question is clarification. Ron, you had mentioned that there was a – and I knew about this, but wasn't sure what it was – a MONISTAT opportunity to use the Fleet factory. Could you just give the details on that?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Sure. Although the Fleet manufacturing opportunities are really long-term, right? It takes 2 to 3 plus years to make any change in FDA registered kind of products in the supply chain, but it doesn't mean we're not looking for short-term and near-term opportunities, and one of them that was identified by our new product development group was to launch a new cooling wipe for MONISTAT and take advantage of the wipe manufacturing technology and infrastructure that exists in Lynchburg. As part of the Summer's Eve product offering, they have a broad product offering of wipes and that technology is available. So we'll be launching and rolling out a new MONISTAT cooling wipe taking advantage of that infrastructure and that in-house knowledge that we have in Lynchburg. So that's one of the quick wins that we have there.
Frank Camma - Sidoti & Co. LLC: Good. And my last question is, I know it gets more difficult as your product portfolio gets bigger, but are there any decent size product launches that we should be aware of that you're working on for the back end and fiscal year?
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Yeah. We're constantly working on new product opportunity and launches. We generally don't announce any in advance of them actually showing up on shelves or have been announced to the trade. So you should expect a continual flow of 4 to 6 meaningful new products each year, which has been a strategy that we've had in place for a while. But we'll see some stagger out through the year, like, we have every year, Frank.
Frank Camma - Sidoti & Co. LLC: Okay. Great. Thanks, guys.
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Thank you.
Operator: Thank you. I see no other questions in queue. I'll turn it to Mr. Lombardi for closing remarks.
Ronald M. Lombardi - Prestige Brands Holdings, Inc.: Thanks. Thanks, everyone, for joining us this morning. And as we've said a couple of times on today's call, we continue to feel good about the momentum that our business has as we head into the second quarter here and the remainder of the year. So, again, thanks for joining us and have a good day.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may now disconnect. Everyone, have a great day.